Operator: Greetings. Welcome to PROS Holdings First Quarter 2021 Earnings Conference Call. [Operator Instructions] As a reminder, this conference is being recorded.  I would now like to turn the conference over to Belinda Overdeput, Senior Manager of Investor Relations. Thank you. You may begin.
Belinda Overdeput: Thank you, operator. Good afternoon, everyone, and thank you for joining us. Our earnings press release, SEC filings, and a replay of today's call can be found on the Investor Relations section of our website at pros.com. Our prepared remarks will also be available on our website immediately following the call and will be replaced by the official transcript which includes participant questions once available. With me on today's call is Andres Reiner, President and Chief Executive Officer; and Stefan Schulz, Chief Financial Officer. Please note that some of the commentary today will include forward-looking statements, including without limitation those about our strategy, future business prospects, and market opportunities, and our financial projections.  Actual results could differ materially from such statements in our forecast. In particular, there is significant uncertainty around the duration and impact of COVID-19. This means that results could change at any time and the contemplated impact of COVID-19 on the company's business results and outlook is the best estimate based on the information available as of today. For more information, please refer to the risk factors described in our SEC filings. PROS assumes no obligation to update any forward-looking statements to reflect future events or circumstances. As a reminder, during the call, we will discuss non-GAAP metrics. Reconciliations between each non-GAAP measure, and the most directly comparable GAAP measure to the extent to which available without unreasonable effort are available in our earnings press release. With that, I'll turn the call over to you, Andres.
Andres Reiner: Thank you, Belinda. Good afternoon, everyone, and thank you for joining us on today's call. I'm pleased to share that last quarter we exceeded the high end of our guidance range across all metrics. We are encouraged by the demand for our solutions and the market opportunity in front of us as the macro-environment continues to recover. B2B enterprises are increasingly looking for ways to sell their products and services digitally. Industry analysts now expect digital sales to overtake direct sales as the primary B2B channel by the end of 2021. Organizations need more than ever a platform they can deliver a true omnichannel sales experience. The PROS platform has been uniquely designed to optimize selling across direct and digital channels. Last quarter, we won new B2B customers who're embracing the shift to digital selling. One example is Deluxe, a U.S.-based provider of business technology and payment services. With millions of customers across multiple divisions, Deluxe needed a scalable solution that could centralize and optimize omnichannel price management.  Deluxe will leverage our AI-powered platform to analyze customers' buying patterns, develop real-time market-winning price recommendations in identifying cross-sell and upsell opportunities. With PROS, Deluxe will provide their customers a consistent and personalized buying experience across direct and digital sales channels driving higher win rates and fueling their long-term growth. On the travel side of our business, we're seeing signs of improvement. The recovery of domestic and leisure travel in the U.S. is underway with the rollout of vaccines. We're also seeing improvements in specific overseas markets like China and Australia. Although it will take time for the industry to fully recover globally, we're starting to see airlines look to the future and our solutions are at the heart of where they're looking to go. Airlines are looking to deliver self-service, digital buying experience to their customers for all their offerings whether you will be passenger, group, corporate or sales. We are bringing to market new innovations in all of these areas and are delivering them to our customers with a fully connected sales experience in our platform.  Airlines are anticipating a pent-up demand for travel as the recovery progresses and they will need a sharp focus on delivering highly personalized offers to drive conversion of passenger sales. In Q1, we launched our PROS dynamic offers giving airlines the power to deliver personalized fair, seat, and ancillary products and bundles to their customers through any distribution channel. Powered by AI, PROS Dynamic Offers continuously learns passenger preferences, everything from seat preferences to ancillaries to locations of travel and tailors offers to those preferences driving higher win rates and better customer experience. With our corporate sales solution, airlines can create, manage, and renew personalized contracts that include pre-negotiated discounts on fares and ancillary services for their clients.  Our AI-powered price guidance in omnichannel selling capabilities automate contract negotiations for corporate sales teams and enables customers to self-serve contracts online so that airlines can bring business flyers back to the skies even faster. Similarly, our Air Cargo solution empowers airlines to deliver personalized quotes and contracts to customers through direct and digital channels. With dynamic prices to consider capacity constraints in changing market conditions, airlines can power their recovery with our solution by optimizing cargo revenue while delivering an incredible customer experience. Our market-leading innovations for airlines are why in Q1 we were thrilled to welcome United Airlines as a new PROS customer. As enterprises seek solutions to win in digital marketplaces, we're seeing an increased reliance on AI machine learning to drive business results. PROS is a pioneer and proving leader of AI and I'm proud to share that last quarter, we received the inaugural 2021 AI Excellence Award for machine learning.  We've been at the forefront of business AI for decades continuously delivering leading-edge innovations. Our advanced AI and machine learning algorithms use an ensemble approach to combine multiple models to deliver the best outcome possible. Our models are also adaptive. They self-learn and recalibrate based on user interactions in data signals. The strength of our AI is proven by the significant ROI we deliver through win rate improvements, revenue growth, and margin uplift for our customers. Our AI-powered platform supports everything from customer demand forecasts to willingness to pay predictions to extensible AI algorithms and more. We're redefining AI with these market-leading innovations and delivering them with the flexibility, speed, and security required to support global enterprises. Our headless highly scalable AI capabilities can adapt to any digital sales motion which gives companies the power to tailor online buying experiences to their brand. PROS is the first digital selling platform to bring extensible AI models to market. Customers can now couple the power of our AI in omnichannel capabilities with their own science to deliver new digital selling innovations. HP Inc. and Siemens both long-time PROS customers are adopting our latest innovations in using our extensible AI algorithms. HP migrated to our SaaS solution last quarter and will use our AI-powered price optimization and extensible capabilities to create more winning offers. Siemens is expanding their global Smart CPQ solution to use our dynamic price algorithms extended with their own science to power digital selling. We're excited about partnering with Deluxe, HP, Siemens, and United among others on their digital selling journeys.  Before I close, I'd like to share an update on our leadership team. I'm thrilled to welcome Katrina Klier to PROS as our new Chief Marketing Officer. Katrina is responsible for global marketing strategy with a focus on optimizing demand generation, deepening engagement, and increasing brand visibility. In closing, thank you to our amazing global team for continuing to make PROS an incredible company.  Thank you to our customers, partners, and shareholders for your ongoing support of PROS.  With that, I'd like to turn the call over to Stefan to cover our financial performance and outlook.
Stefan Schulz: Thank you, Andres. Good afternoon. I hope all of you are well and staying safe. It is hard to believe it has been over a year since we began working virtually due to the pandemic. While we are still mostly virtual at PROS, our team continues to execute and support our customers without missing a beat. Our first quarter results were a nice way to start 2021. Subscription revenue and total revenue were 42.6 and $61.4 million respectively, both exceeding the high end of our guidance. Our first quarter recurring revenue was 85% of our total revenue and our gross revenue retention rate for the trailing 12 months was approximately 88%. Now, adjusting for COVID-related impacts, our retention rate would have been approximately 92%. We expect to drive increases in our revenue retention throughout the year and anticipate ending the year back in the low 90% range. Our non-GAAP subscription gross margins were 69% which is down year-over-year and sequentially.  The decline in subscription margins is primarily due to the revenue impact from some of our travel customers who were significantly impacted by COVID. While we were able to reduce some of our costs, the impact on revenue did affect our subscription margins. We expect these margins will start improving again in the second half of 2021. Our expense lowering initiatives from 2020 did carry forward into 2021 where total expenses declined by 8% in the first quarter. Because of these savings, our overall profitability improved compared to last year. Adjusted EBITDA loss was $9.4 million as compared to $11.4 million last year. Now we do anticipate increasing our investments as we progressed through the year.  So the expense savings experienced in the first quarter will be slightly less than the remaining quarters of 2021. Our trailing 12-months calculated billings improved sequentially due to strong billings in the first quarter. For the trailing 12 months, our calculated billings decreased 14% year-over-year and the decrease continues to be primarily driven by certain onetime billing events that occurred back in the fourth quarter of 2019. Our free cash flow burn was $4.6 million during the first quarter which was approximately a $21 million improvement over last year. We had another strong quarter of cash collections. We were able to collect a substantial majority of the remaining payment deferrals previously offered to customers last year. The amount of remaining unpaid deferrals offered to our airline customers during COVID is now less than $4 million and no longer a significant component of our accounts receivable so we will not be referencing this amount as we go forward. We exited the first quarter with $323.9 million of cash and investments and continue to have access to an additional $50 million through our unused line of credit. We ended the quarter with 54 quota-carrying personnel, up slightly from year-end. As previously discussed, we expect to increase the number of quota-carrying personnel throughout the year and exit the year with more than 60. Before turning to guidance, I would like to discuss the impact of COVID on our reported financial results. In 2020, we experienced headwinds to new bookings, customer contract restructurings, customer bankruptcies, and project delays because of COVID-19. These headwinds had implications for the first quarter and to some extent will continue to impact through rest of this year. We expect our subscription revenue to grow in the second quarter and the full year but the growth rate will be lower than our subscription bookings as the revenue recognition impact will lag the subscription bookings.  From a travel perspective, we are seeing increased demand for leisure air travel especially in the United States and parts of Asia Pacific. However, business travel appears to be recovering at a slower pace. In addition, even though we have seen increases in passenger volumes in the United States and parts of Asia Pacific, a good portion of our travel business is in international regions where passenger volumes are still down. We anticipate that many of our international customers will recover at a slower pace. So now for our second quarter guidance. We expect subscription revenue to be in the range of $43 million to $43.5 million and total revenue to be in the range of $61 million to $62 million. We expect second quarter adjusted EBITDA loss to be between 9 and $10 million and lastly, with an estimated non-GAAP tax rate of 22%, we anticipate second quarter non-GAAP loss per share between $0.21 to $0.23 per share based on an estimated 44.3 million shares outstanding. And even though we understand it will take time for the global travel industry to recover, we feel confident enough in the stabilization of the macro-environment and the momentum we're seeing in our business to reinstate annual guidance. So for the year, we're guiding to the following. Total revenues of between $250.5 million to $253.5 million, subscription revenues of between $176.5 million to $179. 5 million, EBITDA loss of between $33 million and $36 million, and free cash flow burn of between $35 million and $39 million. We're also expecting to see ARR grow in 2021 and are guiding to ending ARR of $211 million to $216 million. Also during the quarter, we adopted a new accounting standard for the convertible debt. Our convertible debt is now presented on the balance sheet at par value rather than the discounted balance. This new accounting standard did not have any impact on our non-GAAP operating results or cash flows. In closing, it was an unprecedented year for all of us and I'm incredibly proud of our team for executing to our mission throughout the past year. As we start to emerge from the pandemic, we are very well positioned to return to the growth trajectory we experienced before the pandemic. Thank you for your support of PROS and we look forward to speaking with you at our upcoming events. I will now turn the call back over to the operator for questions. Operator?
Operator: [Operator Instructions] Our first question is from Nehal Chokshi with Northland Capital Markets.
Nehal Chokshi: Congratulations on the strong results, especially the billings, very impressive, but were those up 18% year-over-year in the quarter and up relative to pre-pandemic levels as well, is that correct?
Stefan Schulz: Yes. You got the math right.
Nehal Chokshi: So let's just talk about the quarter real quickly. You did come in above guidance in all the metrics. What would you say is the top 2 drivers of that?
Andres Reiner: This is Andres. I would tell you overall we are very pleased with the sales execution, especially on the B2B side, travels continuing to do well as well. But definitely continues to be impacted from COVID. But overall on the B2B side, North America and Europe performed very well and I would say about 60% or 2/3 of the deals coming from net new opportunities. So overall, really pleased with the results.
Nehal Chokshi: Okay. And I presume that the strong billings is what's behind the confidence of guide to the sequential uptick in subscription revenue as well as providing the full year guidance. But when I look at the June quarter subscription revenue guidance, it is modestly. Why not a bigger sequential uptick?
Stefan Schulz: Yes. So Nehal, that's -- you're right about the assumption. It was 2 things, one, it was seeing the billing improvement in Q1, also seeing what we're seeing in terms of our pipeline as we go forward. But there is a time lag a bit between when we had the bookings and win that revenue starts to come online and I think as you look at our year as it's going to play out, you'll start to see the layering effect of those bookings really start to help our subscription revenue in the third and fourth quarters especially.  It's going to be a little slow out of the gate but we'll see that benefiting us as we get in the latter half of 2021.
Nehal Chokshi: A question for Andres. You mentioned that you've seen the adoption of accessible AI algos, I think HP and Siemens were 2 companies that you had mentioned. What type of incremental value is PRO able to get off your customers adopting, something like that relative to current core offering on the B2B side?
Andres Reiner: Yes. That's a great question. So I would tell you that now with our AI, one of the really amazing capability is you can extend our algorithm. So a customer can actually augment and bring in their own algorithm and be able to run both our algorithms and their algorithms, which allows them the full power of our omnichannel capabilities with the speed, performance, security by being able to very easily extend and augment the algorithms. And in both of those cases, long-term PROS customers, HP had been using our AI price guidance for now almost a decade and is continuing to innovate on their own algorithms and we've been able to prove the value of their additional enhancements to the algorithm that will drive a significant ROI for them. And in the case of Siemens had been a Smart CPQ customer and it's now extending to bring the full guidance capability as well as augmenting. And we're one of the first AI companies to allow not just to bring in algorithms, but be able to augment them which we think is part of the future as companies embed data scientists within the organizations is giving them the canvas to innovate with speed but leverage the full platform capabilities of our platform.
Operator: Our next question is from Scott Berg with Needham & Company.
Scott Berg: Andres and Stefan, congrats on the good quarter. I guess a couple for me, first for Andres. You mentioned you welcomed United Airlines to your customer fold here in the quarter. Can you tell us a little bit more about that contract, is that on the passenger side or maybe the cargo side and maybe what the extent of that opportunity with them looks like?
Andres Reiner: Yes, I would tell you very excited to welcome United, very proud to have them as part of a customer. I can tell you we can't officially share the area but I will tell you it's one of our new areas of innovation that we're doing. It's a very strategic project for United and in area that we've been innovating and solutions that we've launched more recently to the market. But it's an area that will allow us to start innovating together to innovate further in the future. And very excited about working with United. I think it really proves that a lot of the innovations that we've been doing in travel is really where the market is needing to go. And as I talked in my prepared remarks, I think division in travel of really moving to a full digital sales motion for passenger, groups, cargo in the contract side of the business is really resonating in the market.
Scott Berg: And then, Stefan. You talked about doing full-year guidance, first time you've obviously given it in about a year, and your increased confidence in the business. I guess where are you seeing the biggest delta from 90 days ago roughly from where we are today in terms of that increased confidence?
Stefan Schulz: Yes, Scott. I'd say it's in 3 areas, one was the successful billings quarter we had in Q1, that certainly had a lot to do with it. The second thing was the pipeline and the -- I'd say the overall sentiment that we're seeing from customers in prospects and how they're approaching our sales team. And then the third thing would be, I think the stability in the overall -- in macro-environment. When we look back at last year, we were seeing customers especially on the airline side asking for relief, asking for some form of concessions, and while those aren't completely gone they have -- they've largely gone away. And so that level of stability, plus the what we're seeing in the first quarter and what we're seeing as we look forward is really reminding us of what it looked like pre-COVID. And so that's what gave us the confidence to feel like we can put numbers out that that we feel are very much achievable.
Scott Berg: And then last one for me on the growth investments that are coming into the model, the second half of the year. If you were to handicap those numbers, how much goes into the B2B side of the business, do you think, Andres, versus maybe travel with the improvement hopefully coming there?
Andres Reiner: Yes. So I would tell you that B2B is driving the majority of the growth and will continue to drive through the year. And we're really pleased with -- really since Q3 of last year, it's been gradually improving. I can tell you in Q1, we saw -- continued to see the improvement and I can tell you from what we're seeing in the rest of the year, the demand overall has continued to pick up significant more RSPs. And I would tell you that from a sales cycle, sales productivity, we're seeing good improvements.
Operator: Our next question is from Tom Roderick with Stifel.
Max Osnowitz: It's Max on for Tom. I guess I want to start with free cash flow collections again because it's the second quarter in a row that there is a pretty nice unexpected collections from customers. Does this have to do with the contract negotiations and airlines kind of coming back quicker than expected?
Stefan Schulz: Well, I think to some extent. I mean we had right at the outset and probably into the middle days of when we were in the heaviest parts of COVID, that we offered some extended payment terms for some of our airline customers and you may recall that that spiked at the end of our second quarter last year. And so as we went through the end of 2020 and into the early days of 2021, we did see some of those extended terms where the airlines did pay those invoices and that's certainly was a help to us, to your point, in the fourth quarter and in the first quarter of this year. I think one other thing that I implied in other parts of the discussion, but I did not physically or specifically say as it relates to free cash flow in the quarter, but we had a couple of other things that contributed in addition to the strong collections. We also had the expense savings that I referenced. The 8% savings that we had year-over-year certainly had a part in that and then notably we had an incentive payment that was drastically lower in the first part of 2021 than say what it was in 2020. Clearly, we had arguably the best year in the company's history in 2019 which really resulted in a fairly large incentive payout in 2021 and we had the opposite because of COVID that occurred in 2020 that impacted 2021.
Max Osnowitz: And then just kind of thinking about those contract negotiations and where those airline customers may be left, are you guys seeing nice recovery in that area or is it still kind of a second half '21, early '22 before there's really any meaningful contribution to the bookings?
Andres Reiner: Yes. I would tell you that right now, we're not seeing a meaningful change to those contracts and don't expect them to see this year. We expect that to come in as the passenger demand continues to improve. And I would say more towards next year rather than this year or at the back half.
Operator: Our next question is from Stan Zlotsky with Morgan Stanley.
Stan Zlotsky: Scott, congratulations on a good start to the year. Couple questions from my end and maybe I'll try to ask it a different way on the United piece. Perhaps, why after all these years they decided to become a customer because clearly I mean they're big airline, they were doing a lot of stuff on their own, and now coming out of COVID they decided to kind of rebuff, abandon and work with you rather than doing it themselves? What -- is there any kind of coincidence that those things happened simultaneously or coincidentally?
Andres Reiner: Look, I would say that they're continuing to innovate and I would tell you United has a very strong R&D team that's built their own technology and I think that a lot of our platform strategy has been designing a way to allow customers, both B2B and travel to extend our platform. And if you look at a lot of our investment in innovation, our platform is giving them a canvas to really innovate even faster.  So I would tell you they're going to continue to innovate, they're not going to stop their innovation but they're going to have the areas where we can give them a much faster time-to-value because they're leveraging our platform. So I think we're creating a real win-win scenario with them where we are complementing each other. And now, the beauty of our cloud platform now is that it is extensible and it allows them to innovate in conjunction with us but not having to build everything from the ground up. In the areas, I think it is also a testament to the airlines want to automate every aspect of their sales motion digital. And the areas that we've been innovating are exactly around those areas. So I think it did validate a lot of a road map and innovation and us continuing to innovate during the downturn. And we knew that airlines when they come out, they're going to have to innovate and our solutions, we believe our market-leading.
Stan Zlotsky: Okay. Maybe switching over to the B2B side of the business. It certainly feels like the selling environment is improving and that's partly what gives you the confidence to increase and actually provide -- not increase, provide full-year guidance. Is there anything else happening on the B2B side, it's almost like some kind of pent-up demand for business transformation type of solutions coming out of COVID where we were so focused on basic business continuity and now they're really refocusing their budgets for 2021 on really pushing their businesses forward?
Andres Reiner: Yes, Stan, I would tell you, in general, we've seen much more consistency in our sales cycles. Overall, as we look at the pipeline, the demand, the number of RFPs, and how well we're executing, I think that gave us the confidence in the market. I would tell you the same themes around digital selling are really resonating in B2B. Lot more B2B companies are thinking about self-serve commerce and not just how they're powering the e-commerce but marketplaces and being ready. The notion of AI, empowering AI for sales around price guidance and offer optimization is resonating really well in our innovations there with our new guidance for both negotiated price guidance and non-negotiated for the digital channels is resonating really well and we're seeing deals be more consistent in terms of improving to historical norms from a sales cycle time perspective. And that's what gave us really the confidence. Also knowing that travel has stabilized, the combination of both of those really gave us the confidence to provide full-year guidance.
Operator: Our next question is from Jackson Ader with JPMorgan.
Jackson Ader: First one on pulling up on the guidance. I think relative to what may be, Stefan, you were expecting last quarter I think we are -- for year-over-year growth. I know its nit-picky, but now the new midpoint is more like flat to down and with travel picking up, does that kind of imply that maybe the B2B side of things is on balance a little bit below your previous expectations?
Stefan Schulz: No. I would say B2B is actually if I compare to where I was thinking 90 days ago, I would say that we feel better about B2B. I think to -- we feel also slightly better about travel. What I would say about our guidance overall is our guidance process is very similar to what we did a year ago. In that we do the modeling and we do the assumptions and basically put numbers out there, we have a pretty high degree of confidence we can achieve.
Jackson Ader: Okay. And then the follow-up without naming names here, but could we just size the potential wallet for let's say a top-tier airline carrier? What do the largest airlines potentially, what could they spend with a vendor like PROS?
Stefan Schulz: It's several million dollars. When you look at the entire portfolio, especially if you're -- like you said, if you're talking about a large airline, it could be, yes, it could be, call it in the high-single digits. Millions of dollars per year in subscription fees.
Operator: Our next question is from Chad Bennett with Craig-Hallum Capital Group.
Chad Bennett: So maybe first for Andres just on the B2B side. Just curious especially year-to-date, we've seen a significant amount of commodity or input inflation from a macro standpoint. And I mean if -- knowing you guys fairly well and your vertical exposure on the B2B side, whether it's the chemicals, energy piece or food and consumables or auto industrial, I would think and maybe you don't want to necessarily highlight inflation but I would think you would be the ideal solution for those sub-verticals kind of dealing with pretty pronounced inflation these days. Just any kind of comment on and if that's transpiring in the pipeline and in what you feel or are seeing there?
Andres Reiner: Yes. Chad, that's absolutely. I think that's an area the more volatility that there is, the more that companies have to drive real-time price and real-time price changes. And I think that in general, what we're seeing with the market is that companies who are historically in B2B wasn't uncommon that you would change price maybe quarterly, maybe annual. That can't happen anymore, you can't -- you really have to be much more dynamic and that's where the power of our platform and our algorithms are key. As any changes happening, you're able to drive those changes dynamically and not have to go through a rigorous process to go through. So overall, I think that is a component. I think the other component is that the area of moving to digital and a lot more companies are really believing that they will sell digital as Gartner is expecting. Now in B2B that 50% of the B2B transactions will happen in a digital channel by the end of this year. We're seeing some of our customers already doing 70% of their business in digital channels. And Gartner's predicting that by 2025 80% of B2B transactions will happen in digital channels. To do that, you need to be able to provide a real-time market price that customers will buy on. Because if you put a static price that's not relevant to the market, you're not going to close business in a digital channel, it'll be just a digital catalog. So I think those 2 trends are definitely helping us on the B2B side.
Chad Bennett: Where do you think you are in terms of true AI product adoption on the B2B side of the business in your base? Do you -- is it still fairly early there?
Andres Reiner: I would say it's very high. I would tell you it's rare for us not to have say new deals, not to have AI being a core component whereas historical, you would see more price management. I would say companies are starting with AI. So that's maturing pretty significantly.
Chad Bennett: And then maybe one quick one for Stefan. Just, Stefan, if you look at I think someone pointed out but recurring deferred revs were up pretty nicely sequentially. Is -- from this baseline in March, should that -- should recurring deferred revs continue to improve sequentially throughout the year or are there still going to be some puts and takes to that piece?
Stefan Schulz: Yes. So there will definitely be some puts and takes to it. So there we had a very strong Q1, which is consistent with what we've seen in the past. Like in the Q1 of 2020, we saw something very similar. So, yes, I would say that overall, we expect to see calculated billings as an output from the deferred revenues show nice growth throughout the year. I would tell you that deferred revenues -- recurring deferred revenues, to your point, are going to be kind of moving up and down depending on the seasonality and when those invoices are going to come due.
Operator: Our next question is from Jason Celino with KeyBanc Capital Markets.
Devin Au: This is actually Devin on for Jason tonight. I have got a question on B2B. You mentioned North America and Europe had a particularly strong quarter but could you dive into the sub-segments and comment on some of the industries that you're seeing that are doing better or that are still lagging in the pace of recovery during the quarter?
Andres Reiner: Yes. We're seeing strength in industries like industrial manufacturing, health care, distribution and services. I would say those are some of the industries where we're seeing particular strength.
Devin Au: And just one more from me. Could you provide some commentary on how the linearity of business trended in both the B2B and travel segments during the quarter, any color you can provide on that?
Stefan Schulz: I would say that we love to have a very linear quarter where it's a third, a third, a third, I would say that was not the case in the first quarter. But I will say, as we look at the second quarter, we are seeing much more of a return to a linearity form of bookings. So it's just the way the deals lined up in the first quarter that they were a little skewed towards the end.
Operator: Ladies and gentlemen, we have reached the end of the question-and-answer session. I would like to turn the call back over to Belinda Overdeput for closing comments.
Belinda Overdeput: Thank you for listening to today's call. We look forward to speaking with you at conferences and events this quarter. We will be attending the Needham Technology & Media Conference on May 18th, the J.P. Morgan Technology and Media Conference on May 24th, the Stifel Cross Sector Conference on June 8th, the Bank of America Securities Conference on June 9th, and the Baird Global Consumer, Technology & Services Conference on June 10th. If you have any questions, following today's call, please contact us at ir@pros.com. Thank you and goodbye.
Operator: This concludes today's conference. You may disconnect your lines at this time and thank you for your participation.